Operator: Good morning everyone. Welcome to the Harte Gold Corp Third Quarter 2020 Results and Quarterly Update Conference Call. Listeners are reminded that certain matters discussed in today's conference call or answers that may be given to questions asked should constitute forward-looking statements and that are subject to risks and uncertainties relating to Harte Corp's future financial or business performance. Actual results could differ materially from those anticipated in these forward-looking statements. The risk factors that may affect results are detailed Harte Corp's third quarter 2020 management's discussion and analysis and other periodic filings and registry creation statements. You can access these documents at SEDAR’s database found at sedar.com.  I'd like to remind everyone that this conference call is being recorded today Friday November 13, 2020. On this call management of Harte Gold will be quoting dollar figures. All figures are in Canadian dollars unless otherwise noted. Participants today on this call will be Frazer Bourchier, President and CEO of Harte Gold and Graham du Preez, CFO of Harte Gold. At this time, I'd like to now introduce Dr. Frazer Bourchier to provide an update on the quarter. Go ahead please, Mr. Bouchier.
Frazer Bourchier: Thank you, operator, and good morning to everyone, and thank you for joining us on this call. I believe it's the first one we've had this year. And before I speak to the past quarter, I would like to briefly provide some context and reasons for why I joined Harte Gold as its President and CEO nearly two months ago. I find it both a privilege and an important responsibility that I fully commit to, to lead Harte Gold into its next stage of growth, to become profitable and to reward all stakeholders, including shareholders, who have committed to this company and believe especially in the potential of this important mine, just north of White River, Ontario. While I have been fortunate to work for over 30 years in the hard rock mining industry, both domestically and abroad, including open-pit and underground in both large multinational corporations and smaller single asset companies, recovering both polymetallic and gold minerals, through the standard delineation drill blast, load haul process extraction and gravity, bleach presser rocks float. There is something to me that's very rewarding and intriguing about an early stage tidy small footprint asset that has real potential for high growth value, both from its current underground operation and the continuous mineralization along strike, depth, and from within the neighboring 80,000 hector land package. First, the overall Sugar Zone property potential and the size of the land package, as I just shared in an established, safe and proven greenstone geological environment, sharing similar traits to the Hemlo Camp, which is 50 kilometers Northwest and has produced over 21 million ounces of gold in over 30 years, that is an excellent starting point. Second, I'm very familiar, operating in Northwestern, Ontario, having started my career in Red Lake 670 kilometers Northwest as the crow flies at white river. And more recently in the Abitibi, Greenstone Belt of Detour Lake 430 kilometers Northeast. This is an enjoyable geological homecoming of sorts, and an honor to be part of something that can contribute to both the local surrounding community, while rewarding those that have made initial and ongoing investments into this company. Third, I enjoyed being involved in turnaround stories. I've done it in the past and I plan to do it again. And fourth, I have familiarity with and complete trust in Harte's operational and executive management team. Most of whom I know from earlier in my career and most of whom only joined the company earlier this year. As well the current Board Chair, Joe Conway and major investor Appian Capital had only recently commenced transitioning to a different operational approach initially led by Sam Coetzer, who I'm pleased remains on the board. So Harte in many ways is still in its infancy with commercial production only being obtained a year earlier in January 2019, and a four month COVID-19 shut down this year. However, the critical building blocks and the overall framework are already taking shape. Onto the quarterly results. So these quarterly results represent about two-thirds of the normal operating corner -- the quarter with mining really only commencing in late July in the process plants in early August. Employee and contractor safety remains a top priority and a core value. While we had unfortunately one last time injury reported during care and maintenance in July, we have had no lost time incidents since the operational restart. And in addition, occupational safety and hygiene management in the current global pandemic has generated elevated focus in this area with additional measures implemented. I am pleased to report we have had no COVID related illnesses today. Operationally Harte Gold produced a total of 6,218 ounces of gold for the quarter over 3,000 ounces per month and 14,815 for the full year. Third quarter average the highest monthly production to date. In terms of total rock mine, that's or plus ways, total or protest, head grades better at 5.7 grams per tonne, and ounces produced. We remain comfortable with our mineral resource reconciliation and as we continue to descend that depth into the ore body. We forecast continuing to approach reserve grade of approximately 7 grams per tonne. Revenues for the quarter were 12.2 million on 4,882 ounces sold. Keeping in mind, we sold some ounces in Q2 as well despite that not being an operational quarter. The 21.4 million in cash at the end of third quarter, the company is currently in a stable liquid position. Cash on hand together with cash generated from operations is expected to efficiently fund working capital requirements as well as planned sustaining capital investment activities through 2021. However, the company does remain in discussions with its major lender BNP Paribas on alternatives to provide additional financial flexibility focused on a preferred adjustment to the current settled amortization payments of the term loan, while of course honoring all debt repayment obligations. I will touch on this later.  The owner operator transition from contractor mine development and contractor mine haulage has progressed smoothly and should be completed by the fourth quarter of this year. Summer prospecting and TTA which is about 17 kilometers, Southeast of the mine is completed with five successful new mineralized showings. Now extending the overall mineralized trend and I will touch on this and exploration later. And finally, the feasibility study examining a 1,200 tonne per day expansion is nearing conclusion. But I am now targeting to deliver that feasibility study and the results in early Q1 2021. A revision in timing pushed out like four to six weeks which I will also clarify later on the call.  On the operation, I am pleased with how the mine is trending on some of its key performance indicators. There remains however enhanced focus, with the generation of further action plans to obtain accountability driven milestones in the coming quarters. As I envision achieving much further elevated production metrics.  In Q3, mining activity started slightly ahead of the mill, sufficient surface stockpile could be built up to specifically test higher mill throughput rates in campaigning intervals. The mill performs as planned for the quarter, averaging about 650 tons per day over 56 day operating period, with feed grade at 5.7 grams of tonnes and 93.4% recovery. Mill performance also achieved 800 tonnes per day or more or up to seven continuous operating days following restart on several different campaigns.  So this confirms that the mill in its current state is not a limited to an 800 tonne per day operation. Ore selling was developed and long whole stops for mine from Sugar Zone both North and South areas approaching 500 tonnes per day. Development continues to the Middle Zone. And key capital waste development indicators were on plan for the quarter and continued to trend positively.  Best practice mine geology standards are being implemented to better both manage responsive flexible mine planning, geological grades and provide increased confidence in the mineral resource, which the date reconciles within 5%.  Grade control infill drilling exceeded 5900 meters for the quarter targeting both Sugar and Middle Zone areas from two drill rigs one from surface the other from underground. The information compiled as per normal operating practice from this grade control drilling continues to better define geometry of your body with ongoing updates to the grade control model.  I will now hand over to the company's CFO Graham Preez to summarize financial performance for the quarter. Graham? 
Graham du Preez : Thank you for Frazer. We are pleased with the company's financial performance in Q3 2020. But it's also influenced by the fact that this was thought our quarter and the results are they are not directly comparable to previous quarters. For the third quarter Harte Gold sold approximately 4,900 ounces of gold, generating revenues of $12.2 million at an average realized gold price of just below US$1,900 per ounce sold.  It is important to note the realize gold price is before the effects of the gold hedge, which I will discuss later, but it does account for existing off-take agreements.  Mine operating cash flow is defined as revenues, royalties and cash production costs plus positive $4.7 million for the quarter compared to negative $700,000 in Q3 2019. This increase over previous quarters due to a higher realized gold price and lower production costs for the quarter. Royalties and selling expenses increase to $600,000 in Q3, up from $400,000 in Q3 2019. This is primarily due to an increase in the init all right, from accumulator 3.4% to 4%, effective July 14, 2020. At this point, our bracket right from the reporter's financials, discuss the gold hedge. Take you through the company by gold hedge settlement of $3.4 million. The hedge is settled financially with a pre-arranged ounce profile, and is not related to the amount of gold that is produced at the mine. In Q4 this year, the company is obligated to deliver about 5,600 ounces of gold at a price of $1,390 per ounce, which is based on the number of ounces expected to be sold in Q4 2020. Next year, we will deliver about 23,000 ounces, at a profit of just under $1,400 per ounce into the hedge that that number of ounces is less than 40% of our current guidance for 2021. As gold production increases, the impact of the hedge will continue to diminish over the remaining approximately three years of the hedge. The company's realized gold price after getting affected the gold hedge settlement of approximately $1,350 per ounce for the quarter. Net loss for the quarter was $11.7 million, compared to a net loss of $15.2 million in Q3 2019. A loss contributed to the net loss for the $7 million change in fair value of the gold hedge due to the increasing gold prices. It is important to note that this is a non-cash item. The further $1 billion mark-to-market loss was incurred on a derivative associated with the Appian financing during the quarter. Again, another current non-cash item, which I think non-cash items, the company generated negative EBITDA of $0.5 million for the quarter. Obviously, I remind everyone that cash costs all in sustaining costs, non-operating cash flow and EBITDA of non-GAAP measures. The full reconciliation of these figures can be found in the company's MD&A found on SEDAR. Cash operating costs, were just under $1,200 per ounce compared to $1,500 per ounce in Q3 2019. All-in sustaining costs were $6,500 per ounce for the quarter completed about $2,250 per ounce in Q3 2019. Both cash costs and all in sustaining costs are reported on a per ounce sold basis. As Q3 was a partial operating quarter, during which time we were rebuilding our sale cycle. Costs in Q3 are allocated over a lower number of ounces produced relative to previous quarters. As the number of ounces increased, we expect cash costs and all in sustaining costs to decline. The company has $21.4 million in cash on hand at the end of the quarter. In Q3, the company raised $30 million in gross proceeds to support working capital and continues mine development.  I'll now hand the back to Frazer to provide an update on the company's operational outlook and guidance.
Frazer Bourchier: Thanks for that, Graham. Look, this concludes the more formal discussions about the Q3 operations, which we hope doesn't come across or the mere regurgitation of what we emailed out last night in the MD&A financial statements and press release. But hopefully, it provides a bit of color to that, but we will open it up to questions, after I speak for the final 10 minutes where I want to pivot right now, and really just, at this point, provide the participants on the call with an outline on my plan focus for 2021 as well as guidance for the remainder of 2020, and really it's all one in the same. Right now, we're not changing our guidance for the remainder of 2020, that remains 20,000 to 24,000 ounces, but the focus going forward that I have discussed and the team and I are very aligned on, is really five areas. The first is ensuring we achieve 800 tons per day. It may look like starting at 500. We have quite a ways to go, but I want to remind you, this of course is about, ore, and we are in the process of mining ore and waste, a lot of the waste is capital development. So, the same pieces of gear that we have underground are busy, tied up, developing that way. So, we get ourselves set up. So, we believe that it's still very achievable and we have to do that, both for our future success, for credibility and to launch into the next step, which is the feasibility study off which I will have a additional focus and have since I arrived here, and that's the plan that we will share in January of 1200 tonnes per day. The third focus is area is the exploration potential, which I'll talk about just shortly. That is a great opportunity for us without distracting from the operational lead into us as a parallel process that we believe will further unlock potential at Sugar Zone property. The fourth is the one that's probably in front of most individual or investors mind, which is the capital structure. And I'll speak to that in terms of looking at financial flexibility, in discussions of both risks our current debt, lenders and alternatives potential investors. And then the fifth is generating an overall corporate strategy. Now it's not the time to get into this on this particular call. That is something that will evolve with myself and the Board, as we develop a coherent and clear strategy for Harte Gold Corporation going forward. But it is something that, after delivery of our budget tracking 800 tons per day, and the feasibility study will become points of mine along with our capital structure discussions. So very quickly, again, the plan remains to achieve a run rate of 800 tons per day during the first quarter of next year. We're on track to do that. Internally, we look at a lot of lead production metrics, not just lag metrics, to the point that just a few of them, we have decided to start to share that you'll see those in a table in MD&A two of those, we decided to start to share what we called mine development meters or capital development meters, both horizontal and declines, as well as the number of working areas. A third, which gets into a bit of detail will not sharing in terms of our MD&A just drilled underground inventory that comes from our long hole stopes, which is how we do all our mining underground as far as big mining with the long-haul retreat. And I want to remind everyone the previous 18 month guidance remains at 60,000 to 65,000 ounces, we have not changed that. However, of course as we finalize our budget process in the next month, and we share with the market both our year-end results, we will provide official guidance 12 months guidance in January of next year for 2021. In terms of, the next two slides, I want to show or more a high level visual. This is section view of our underground mine with the one edit. We mined down to about 260, 270 meters below. Surface for more the added access to the underground. And this is really showing as far as capital development we've averaged 9 meters per month again, that's split between our decline ramps in the North and South, as well as our horizontal drives that head out to the ore body. And we plan to that needs to and will go up to 13 to 14 meters per day with a number of different action plans, we have more than just additional gear involved a number of different actions. And we're targeting that for the first quarter of next year. The other one we talked about is available working areas or stoping areas, we're presently at four is this picture. So this is somewhat generalized viewed that's trying to simplify it for the market. But those three circles there show the current areas we're working in. And that generates the 500 tonnes per day. But on the next slide, you'll see that moves to five to six working areas. And that's as we descend through the ore body and get access to more main haulage levels, and open up ourselves in terms of more stoke faces more mining flexibility, that will underpin the 700 to 800 tonnes per day, that will fluctuate as we get to an 800 tonnes per day mining and mill throughput rate in the first quarter of 2021. So those were examples of some of the key lead metrics onto the second focus area on the 1,200 tonnes per day feasibility study. As I shared this study, which involves a process plant expansion. We had a recent mine related scenario analyses that were completed with our various third-party engineering companies. And they prevented some interesting new opportunities that I just want to make sure we runs a ground that are important decisions, dealing with tails, backfill, et cetera. So as a result of that, while not overly significant in timing, I want to push out that summary of the executive summary of the feasibility study by four to six weeks. So we'll be sharing that in early Q1 with the required of course delivery of the technical report, no more than 45 days after we announced those executive summary results early next year. And again, the graph on the right showing current guidance, which is not changing. It shows what the latest guidance was that I believe was given to the investors last July or August of the 60, 65. Now we will update that the first year of the feasibility study will reflect the new update as that coincides with our budget process that we plan to approving the finalized towards the end of this year with the board. And then I purposely left the question mark there that will all be about the timing and how we get to that 1,200 tonnes per day which will come out in the feasibility study.  Third focus area exploration. Essentially, this is a large expanse of property that has been somewhat starved of exploration dollars for a number of reasons as far as in the ground. However we do when I say starved of dollars, there has been $5 million still of CEE that we have, we will be ramping that up we have until the end of next year to spend that. And if we continue to with success that we hope to get that could well exceed the $5 million.  A lot of this is about compiling all the data, we have an awful lot of data on this property, it needs to be compiled into an overlaying database, and mapping including all the structures, the geochem, the IP, the airborne, and ground IP, the magnetics, the EM mythology, all of that put together so that we can increase our confidence in the target areas that we plan to do some exploration and drilling on, the first of which is TTA, or we've got a drill about the start there in two weeks time, as we've done some bush line cutting, and doing ground IP and following up on that. So that'll be 4,000 meters to the end of this year. And when we give our guides for next year, I will talk more about the exploration strategy on that guidance as well.  The fourth area, the capital structure, I think mostly investors are aware of this. I mean, unusual, of course, I think we're all aware to have a situation where our capital market cap is about equivalent to our overall debt. The debt comprised again, of 89 million to BNP Paribas, and that's a LIBOR plus 4.4%. And that split between a term loan and a revolver. And the discussions we're having continued to have with BNP is about looking to resculpt, that term loan that the quarterly payments on that term loan, just to give us a bit of a break over next year, as it's our probably last most capital intensive period, separate from the feasibility study. We also have a hedge, we have about 20,000 ounces a year remaining on that hedge roughly for the next three years. But even at the end of this year, and next year with our planned production, we will still be exposed to about two-thirds of our production will be exposed to the spot price. And then the other 20,000 ounces a year at about a cap of 1,390 and it's got a flow of 1,300.  And then the Appian is our major supportive investor. There currently that's a facility that was closed in August of this year that matures in 2023. That's a noncash loan right now that's paid in shares at an interest rate of 14%.  And then finally, just to summarize again at the appropriate time, I'll share strategy next year, earlier next year. But, I believe, we will emerge operationally stronger. This is just a start what you've seen in Q3, we're looking forward to present a full three month quarterly results in Q4. As we have will have completed the owner operator transition, improved geological and planning and process planning practices. Lead metrics tracking which we will continue to share with the market and delivering on these production targets that we show here on the right again I caveat that the 2021 is from earlier in July we will update that officially in January. And then the working capital reset that I have talked about in discussions with our various partners in the exploration results, which has me quite excited. But I keep in mind that is an important, but parallel, not distracting activity to what we know is critical in hand of getting data on tons per day, and then acting on our feasibility study. So on that basis, I hope that provides a summary. We're approaching 30 minutes in our call, and I want to hand back to the operator to open up the lines in case anyone has any questions of clarity on what we've shared today with both our third quarter results and our outlook for the next year. Thank you. Operator? 
Operator:
Frazer Bourchier: Thanks very much for that operator. I'll take that as a positive that hopefully we were very clear in terms of what we shared and comprehensive in both the press release. I do remind all listeners and those elsewhere that this call will be put on our website, I believe, as a webcast that you can listen to over a certain period of time for any that wanted to get a bit more color on the results we put out. Thank you very much, and stay safe everyone. Cheers.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.